Operator: Good afternoon, everyone, and a warm welcome to the Verbio earnings call for the fiscal year 2024/'25. Today's speaker are Claus Sauter, CEO of the company; and Olaf Troeber, CFO of Verbio. They will walk us through the company's performance touching on key milestones and the current market trends. Before we dive in, a quick housekeeping note. The conference is being recorded. [Operator Instructions] And now let me pass the word to Mr. Troeber, the floor is yours.
Olaf Troeber: Thank you, Harry. Good afternoon, everyone, and thanks for joining our fourth quarter and full year 2024/'25 earnings call. Sorry, I have -- I regret having to inform you that our CEO, Claus, is currently attending an important meeting at the Embassy in India, which has taken a bit longer than expected. So he will be joining us shortly. And in the meantime, we will get started. And he will join the discussion as soon as he is available. Today, we will walk you through the key financials of the year and quarter, then cover our market outlook, strategic initiatives and guidance before opening the line for your questions. We've had a challenging year, and now we are looking forward with confidence to the opportunities ahead. So let's begin with the full year figures. Once again, we achieved a record production in '24, '25. Biodiesel production reached close to 620,000 tonnes and the capacity utilization rate was 87%, slightly down from the prior year. This was because our Canadian plant was shutdown from December through March this year. We carried this out as planned, given the tough market environment caused by regulatory changes in the United States. Purchase and sales contracts that guarantee a high level of production capacity utilization have been in place again since March 2025. While Canada is taking protectionist measures in support of biofuels. In Germany, biodiesel production increased. Ethanol and biomethane production, on the other hand, also reached new highs, primarily due to the continuous ramp-up at a plant in Nevada since the beginning of the year and as a result of our expansion measures in Germany. Yet EBITDA fell significantly to EUR 14.2 million. The decline is largely due to challenging markets in Europe and Germany, specifically linked to the biofuel sustainability certification frauds. Lower profit margins for bioethanol and biomethane, mainly due to declining greenhouse gas premiums were a key headwind as well as write-downs on inventories. Our ethanol and biomethane business in North America, which I wanted to mention separately as our strategic focus area, delivered an operating EBITDA that was in line with last year, even though utilization has already improved. This has been due to the more difficult margin environment in the U.S. ethanol market in the past financial year. One-off repair costs in Nevada and write-downs on the remaining quantities of straw for processing into biomethane had an additional negative impact on earnings. The write-down of the remaining straw quantities is linked to the noncash impairment of our straw biomethane plant in Nevada, which we had communicated in the beginning of August already. While we will continue to use the straw, we are now looking into wider use of grain stillage and other raw or residual materials from the industry and agriculture to be able to serve more attractive market segments such as biomethane for shipping. The change in net debt mainly reflects negative free cash flow from lower operating cash flow. CapEx stayed high even though investments were already down year-on-year, a path we remain committed to and explained a few months ago already. The equity ratio fell to just above 58%, but it remains at a comfortable level. The decline mainly stems from a lower total comprehensive income, including the impairment mentioned before. While we faced challenging markets and a decline in earnings, our market position -- our overall market position remains strong. Now turning to Slide 4. I want to highlight the premium we hold in the markets, which continues to be a key driver of value going forward. The industry has suffered heavily in recent years from fraud in biodiesel imports, particularly from Southeast Asia and upstream emission reductions. A lack of proper controls has led to the market being flooded with palm oil-based biodiesel instead of advanced biofuels. This decreased margins overall, but specifically also the CO2 premium, thanks to our high core value coproducts, which we are looking to expand, our premium decreased less pronounced than average market spreads, which are calculated as the sales volumes weighted average reference spreads across products. What do we mean by spreads? We mean the difference between the respective biofuel price and the feedstock price. So that gives some context on our market position. Next, let's dive into Q4 and the performance across our segments. I will kick off with a look at how our EBITDA has developed across the quarters. What stands out first is that biodiesel segment has delivered consistent earnings support and I would say, as always. Group EBITDA has decreased both year-on-year and quarter-on-quarter to minus EUR 8.2 million. This was primarily affected by the bioethanol, biomethane segment and also included on-offs. The segment Other, which summarizes our logistics and trading activities, reported an EBITDA of minus EUR 2.7 million. This includes unrealized results from commodity contracts brought forward amounting to a high single-digit negative impact. And now let me give you a bit more color on the segments performance. We are focusing on the quarter-on-quarter changes rather than year-on-year. In the biodiesel segment, production and sales volumes were up on the previous quarter. It generated revenues of EUR 244 million in Q4 compared with EUR 210 million in Q3. A big reason for the higher volumes and the revenue was that we resumed production in Canada, which had been temporarily paused from December to March this year as planned because margins were tied due to regulatory changes in the United States. EBITDA also grew significantly, rising almost 24% to EUR 20.8 million compared with EUR 16.8 million in Q3. This growth was driven not only by the EBITDA improvement in North America, thanks particularly to the plant utilization, but also by the improved gross margins in Europe. Now for some market context, let's now take a look at the reference charts. These illustrate how biodiesel spreads have developed. By spread, we mean the difference between the biodiesel price and the rapeseed oil price. While the charts don't capture our specific sourcing strategy, they still give a useful snapshot of broader market trends. And just to remind you, we typically buy our rapeseed oil 2 to 3 months in advance, where the graph depicted is on a daily basis. The German biodiesel market continued to be challenging in Q4, as illustrated by the dark green line in the chart on the left-hand side. Spot demand for sustainable biodiesel was weak due to the low mileage and new cases of fraud in Europe. As a result, the positive factors like low biodiesel imports from China and adjusted domestic production could only support spreads to, yes, I would say, to a limited extent. However, biodiesel prices have now started to bounce back supporting margins. So yes, what we actually can see that margins came back, and they are quite favorable, especially in, yes, what we see right now in September. Then let's go to the bioethanol/biomethane segment. The worldwide decline in ethanol prices compared with the previous quarter was more than offset by higher volumes of greenhouse gas quota sales with rising greenhouse gas quota prices and significantly higher production and sales volumes in North America. As a result, Verbio generated revenues of EUR 186 million in Q4 '24/'25 after EUR 181.5 million in the third quarter. Nevertheless, EBITDA deteriorated significantly from minus EUR 14 million to minus EUR 26.3 million. This is due to lower profit margins in Europe as well as on-off effects in the fourth quarter, including the write-downs on inventories also mentioned before. Now let's take a look at the reference graphs. They show how ethanol market spreads have developed. As with biodiesel, they don't reflect our exact purchasing or feedstock strategy, but I do give a good view of the broader market. Despite stable demand, bioethanol prices stayed relatively weak in the fourth quarter, continued high production in Europe and large imports, especially from the U.S. had prices down. At the same time, commodity prices and particularly wheat didn't come down enough to increase margins for producers. Looking ahead, demand for ethanol should remain solid as it is still one of the most cost-effective blending components in the market. The European market overall is quite tight as the years before, too. Brazil isn't competitive at the current price level, and that supply gap will have to be filled mainly by U.S. exports. That said, there is -- there are still several limiting factors on U.S. shipments, which means we don't have to worry about an oversupply. Meanwhile, the European grain market, especially in Germany, is heading into the '25, '26 marketing season with strong harvest expectations and steady production levels. So this also should support margins in the coming months, and we already see improved margins in September. Now in the U.S., following the usual seasonal pattern, we saw a strong improvement compared with Q3. However, the ethanol market still stayed below its normal seasonal pickup in Q4 mainly due to continued high production and muted domestic demand, even with higher exports. And looking ahead, another record corn harvest is expected, which eases feedstock costs and boost competitiveness of U.S. products. In fact, margins have already started to pick up very strongly as domestic demand increased. Now higher blending mandates and climate targets in key export markets are also creating new opportunities. We will come back to this later in the call when we discuss the market outlook in more detail. Now let's have a look at the greenhouse gas quota development, which is a key earnings driver for our ethanol and biomethane segment. Looking at the dark green line, which reflects the current '25 quota prices, you can see an increase versus Q3, particularly at the end. This spike has been driven by the RED III Transposition - Draft in Germany, which has been released on June 29. So Claus is in the call. Claus will give you all the details in a minute. Overall, it's very promising coming back to RED III Transposition - Draft. So Claus, now the floor is yours.
Claus Sauter: Okay. So thank you very much, Olaf. Excuse me, I apologize, I was a little bit late now. I'm here in India. So good afternoon. [Foreign Language]. And yes, it's a very dynamic here. But now let's come back to our call. So let's -- and I think that's the more interesting part how the future will look like. So let's take a closer look at what's in the draft transposition of the RED III. It introduces some significant changes and hopefully, lessons learned from the RED II Transposition. First, greenhouse gas reduction targets are now extended all the way to 2040, aiming for 53% cut compared to fossil baseline previously the targets were only defined through 2030. The quota obligation is also broader. It will now apply to all fossil fuels including aviation and maritime fuels. Enforcement is getting stricter, including on-site inspections by German authorities. Foreign auditors now need accreditation under German standards and the directive also requires information to be shared, eventually making it much easier to trace where biofuels are coming from. So this is a great progress, but there are other things to come. So for advanced biofuels, the multiplier has been removed, so no more double counting. And the sub-mandate for advanced biofuels which is measured in energy content is increased from 0.7% to 3% by 2030. For crop-based biofuels as per the draft, the cap is being lowered from 4.4% to 3% by 2030. This, we are not going to accept. So what does all this mean in practice? Overall, we think this is a very, very positive development. First, the single counting in place, quota prices are moving higher. In fact, prices for 2026 have already doubled. We are at EUR 300 per single ton of CO2 reduction for 2026 today. And this happened despite the fact that the draft hasn't been implemented yet. The import point here is -- the important point here is that the system now creates the same incentives, but without the loopholes we've seen in the past. Yes, as a German producer, we did like the double counting. Of course, the idea was good, but the execution was very, very poor. Second, stricter controls will boost demand for genuine biofuels. And once the market distortions are out of the way, HVO, being the most expensive option is likely to set the marginal quota price as it has been in the past. You can -- this illustrated in the chart in front of you. With the ambitious overall mandate, the market expects that additional HVO will actually be needed. So HVO should actively determine the price again. And third, the crop cap remains a controversial topic. That's despite the fact that the global food supply is sufficient. So the debate needs to end considering that it is a policy choice and not a reaction to actual scarcity. But for now, this would mean tighter limits on crop-based biofuels going forward. Importantly, today, 2025, we are not even at the 4.4% mark and just slightly above 3%. With the ability to export to other European countries and our plan to shift a significant portion of our rapeseed based biodiesel production toward bio-based chemicals by 2030, we are well positioned for any future. At the same time [Technical Difficulty].
Operator: It looks like Mr. Sauter's internet connection has interrupted. We will try to get him back to the call.
Olaf Troeber: Not a problem. I will take over. So what Claus was telling you guys that -- yes, he summarized all the limits and all the stuff together. What you have to keep in mind that at the same time, we shouldn't forget the contribution our biomass so far has made in reducing CO2 in Germany looking backwards. But now going forward again -- so while Germany is once again debating and that's actually quite tiring, food versus fuel, global demand for biofuels keeps growing, and it's not just for advanced fuels. Even first-generation biofuels are seeing strong demand because there is plenty of agricultural feedstock available. For example, India, where Claus is right now, already blends 20% bioethanol into petrol and blends to increase that further. We are talking about the 20%. And in Germany, we are able to blend the 10%. Japan is rolling out E10 national wide by 2030 with a long-term target of E20 by 2040. And yes, I do not know what actually Asia is now moving really ahead of the market. Even Vietnam has plans to introduce E10 and E10 mandate in 2026 and wants to go higher from 2031. So you can see the demand -- overall demand globally is increasing. And all of this growing demand is increasingly met by U.S. production. Political and regulatory measures like the Inflation Reduction Act are supporting low-emission fuels and CO2 capture. U.S. ethanol already has the lowest production costs among liquid fuels and remains cheaper than fossil gasoline even at today's oil prices. Just you really get it. So the ethanol is cheaper than the fossil gasoline in the United States. Trade agreements with countries like the U.K., Vietnam and Japan are reducing barriers that should support U.S. ethanol exports as demand rises and margins improve. And our bioethanol and biomethane projects are very well positioned to benefit from this demand environment in the medium term. Now turning back to Canada. Canada is putting in place protectionist measures for biodiesel like tax credits after similar U.S. incentives. In Ontario, the biggest fuel market in Canada, 75% of the blending mandate has to be fulfilled with Canadian made biofuels. Biomethane demand is also on the rise. This is driven by regulations, security of supply and regional feedstock availability. In China, more than 35% of new heavy-duty trucks in '24 run on methane and eventually on biomethane. Also, shipping is adding strong demand with bio-LNG emerging as the fuel of choice. We have seen interesting deals lately all here to competitively decarbonizing shipping under fuel, EU Maritime and the International Maritime Organization. Next, our strategic initiatives, which are positioned to capture growth and align with the market trends. I will take you through the progress on key projects first in the U.S., then India and then Germany. U.S., our biorefinery Nevada, Iowa, which combines ethanol and biomethane, is all about scaling the energy output. Once it's fully utilized, it should drive higher energy sales and a positive EBITDA, which we expect towards Q4 in the financial year '25, '26. Temporarily, peak capacity utilization is already around 80% today. And the plan is to stabilize and expand by the end of the financial year. The good news actually is no additional growth CapEx is needed. And yes, finally, we are on the path for ramping up the production. And I'm really positive on this one and seeing all the production figures on a daily basis. So Claus, you are back, will you take over regarding the project in South Bend? No, let me go ahead. So sorry, for any inconvenience caused by this. But I think we will get technical issues solved soon. So our project in South Bend is about transforming the ethanol plant into an integrated bioethanol and biomethane plant, giving it a strong competitive advantage. And now I think that's quite new. There's also additional upside from carbon capture and sequestration. Already today, we liquefy our CO2 and sell it to the industry by permanently injecting it into a deep underground geological formation. We could improve our carbon intensity score for ethanol and additionally receive tax credits for Carbon Capture and Sequestration. And for the first time under our ownership, the bioethanol in South Bend has stable production availability. Looking ahead, the focus is on transformation and expansion over the medium term. Also, not to very limited extra growth CapEx would be needed for the upside for Carbon Capture and Sequestration.
Claus Sauter: [Foreign Language]
Olaf Troeber: Yes. So you can take over.
Claus Sauter: No, no, no, go ahead. Olaf, please go ahead. You make it much better than me. Go ahead.
Olaf Troeber: No. Sorry. Okay, we meet at the Q&A later on. As I had mentioned at the beginning of the call, yes, Claus is meeting potential partners in India. So therefore, we are now moving to India. Our plant here is designed to process approximately a 120,000 tonnes of agricultural residues each year, material that would otherwise be burned. And this avoids smoke which is absolutely essential to reduce health risk and illness for the people there. It also reduces emissions at an attractive price point, and this is why it is attracting interest from strategic partners for a scalable, profitable expansion. So we are in the progress or process of finalizing the offtake. And as I said earlier, the shipping sector is looking for affordable bio-LNG. The project has a medium-term horizon, and any potential out would require only limited additional growth CapEx from our end. And now going back to Germany, the ethenolysis plant. So our project in Germany -- the build-out of the ethenolysis plant for bio-based chemicals, strengthens our position by opening new end markets, expanding our chemicals portfolio. So the planned start-up is in the second half of next year, and we've already hit a key milestone with the catalyst production groundbreaking at CMO in Hungary in Budapest this June. The project involves around EUR 50 million of additional investments, and we are aiming for approximately 60,000 tonnes per year of renewable product. This is all included in our CapEx plan that I will present to you in a minute. So with these initiatives in place, we can now turn to our guidance. Slide 18 outlines our expectations for the year ahead, including targets and key assumptions. We expect to achieve EBITDA in the high double-digit million range in the financial year '25/'26. I would like to point out that we have conservatively based this on historical market spreads that are below the spreads achieved in the financial year '24/'25 while we expect greenhouse gas quota prices to recover compared to the previous year, slightly recovered compared to the previous year. The improved result and lower investments compared to the previous year are expected to at least balanced free cash flow and a moderate reduction in net financial debt year-over-year. Considering -- and I think that's quite important, especially for the portfolio managers considering the time lag between cash outflows and cash inflows. I do want to mention at this point that net financial debt will exceed the year-end forecast during the course of the financial year. Now given our net debt guidance, here's how we are approaching capital allocation. CapEx is coming down further from the '22/'23 peak. Investments include mainly the ethenolysis plant and related production assets in Germany and Hungary, but also South Bend. Investments are phased, which means we spread the spending over time. This helps manage cash flow, reduce risk and gives us -- and I think that's quite important, it gives us flexibility to adjust as we go. Maintenance CapEx remains below, let's say, EUR 50 million per year. Our working capital needs, and if you check our balance sheet, we'll see where the money is stuck. Our working capital needs are mostly influenced by the political decision to suspend the carryover of greenhouse gas quotas in '25 and '26. So around EUR 100 million remains tied up in inventory. So till '27 maybe even beginning of '28. Surpluses will build up until 2024 will be available, again, once -- will be available here from 2027. Looking ahead, with the expected regulatory changes, we anticipate a significant increase in quota prices in the years ahead. The Management Board and Supervisory Board, this Monday have proposed to suspend the dividend payout for the financial year '24/'25 to keep that extra flexibility. That said, we remain optimistic that we will return to at least the usual level in the medium term. So -- and with this, we would like to open the line for Q&A.
Claus Sauter: No.
Olaf Troeber: Am I right or no? Claus?
Claus Sauter: Yes, yes. Okay. Thank you, Olaf. Thank you very much. I'm sorry that there are some technical issues, but I want to give here some additional remarks. 3 years we are now complaining about that fraud. But what does it mean? One ton of biodiesel is reducing CO2 emission by 2 tonnes, 1-ton biodiesel, 2 tonnes of CO2 reduction. So when we are using rapeseed oil in our plants and produce biodiesel, 1 ton of biodiesel is reducing 2 tonnes of CO2. And it doesn't matter if it's palm oil, soybean oil or rapeseed oil. So palm oil since 2023 is not suitable for the German market anymore. But with using palm oil biodiesel bringing it to China, labeling it as an advanced biofuel, the advanced biofuel was causing 5 tonnes of CO2 reduction. And there, you can see the effectiveness why we are now so much fighting against the double counting because it was not only fraud, we were seriously harmed, not that we were not able to use palm oil in our plants, no. In fact, it was forbidden. But with not doing something against the fraud, 1 ton of forbidden palm oil biodiesel caused 5 tonnes of CO2 reduction. That was my first remark that shows just the evidence. The biggest scandal was that our former Minister of Environment, Mrs. Steffi Lemke, didn't do anything because she was an offensive opponent against biofuels. That's a scandal. When I'm here in India, and I want to have a meeting at the Prime Minister's office is no problem. But in 4 years, I was not able to meet Mrs. Lemke. So that's a scandal. The next remark is we are right now concentrating in optimizing our portfolio, and Olaf mentioned it, CO2 reduction. Recently, we opened together with Nippon gas in our small ethanol plant in Germany, a liquefaction unit. Nippon is liquefying 80,000 tonnes of CO2 at this plant. You saw our capacities, 800,000 tonnes of ethanol. In this 800,000 ethanol during producing ethanol and renewable natural gas, you produce CO2. In our portfolio, we have about 1 million tonnes of CO2, which goes through the atmosphere today. So with liquefying in Germany, we are improving the carbon intensity of our ethanol. So 80,000 tonnes CO2 reduction with EUR 300 means additional income of EUR 24 million. Right now, we are working on bringing Nippon Gas to our big ethanol plant in Schwedt. There, we are talking about 350,000 tonnes of CO2. So that's the way now how we are doing it in Germany and if you just take these 2 numbers together, then you see that we are talking roughly about EUR 100 million additional revenues without any investment from us. Olaf mentioned that in the United States, we have another system. In the United States, sequestration is supported by the government with tax credits, the so called 45Q. Sequestration is not everywhere possible, but it is possible in South Bend, Indiana. So right now, we are negotiating with parties and with -- yes, the government that allows us to sequest about 500,000 tonnes of CO2 from our plant in Indiana, between 2 and 5 miles away from the plant. So the CO2, this area has a high content of CAO, calcium oxide. So if you bring CO2 together with CAO, you get calcium carbonate, CaCO3, which is a mineral. So these are the things, when I say optimizing our portfolio, then that is one of our main focuses. Together with the development, and that's my last remark, we were also mentioning what we are seeing right now is a very big dynamic in the maritime sector. Here in India, we announced that we are going to make a joint venture with GAIL. GAIL is the operator of the Trans-National Gas Pipeline System in India, is a big importer of LNG and is operating 9 LNG ships. And these LNG ships will in near future, need low CO2 fuel. So the idea is to provide GAIL on their ships with biomethane, bio-LNG produced here in India. There is a big dynamic here. Japanese companies are here because what is also important is related to the Paris agreement. There is a possibility under [indiscernible] article 6.2 that countries can realize CO2 reduction in their home country by doing it in joint countries. Therefore, a so-called joint credit mechanism is necessary. Japan signed this GRM agreement already. And the reason of my visit now at the German embassy was that I want to have here from India support to our German government of environment and economy that Germany is signing something similar. So what I want to say is there is really a global dynamic. And India has big potential with about 20 million tonnes every year of unused biomass, but the plane hasn't taken off yet. We are in that phase, a lot of interest, interesting developments. So before I hand over to the Q&A, I think there is really a lot of reasons to be optimistic in Europe with -- and in Germany with a clear regulation, in the United States with Mr. Trump opening the global ethanol markets. Trump at the moment is our best salesman. Ethanol is always one of the top topics when they are negotiating economic deals. And finally, also here, the development in India, in Asia, where now countries in the Far East, Vietnam, Thailand, Japan, are also starting and ambitiously starting their decarbonization programs. And nevertheless, Verbio was never engaged in SAF, Sustainable Air Fuels. We don't think it's a good idea to start with decarbonizing aviation as long as cars and trucks are running on fossil fuels. The maritime sector is more reasonable. There the cheapest solution is important. And we, with our bio-LNG or biomethane products all over the world, in Europe, in North America and now here in India, we have the right product for the right application. So thank you very much. And now we start with Q&A or you want to say something, Olaf? You are muted. You are muted.
Olaf Troeber: No. As you know, I'm always a little [ pain ]. We have to focus on the Q&A because we are running a little bit out of time, but it's perfect. Thank you.
Operator: Thank you, gentlemen, for the insights, and you're absolutely right. We will move on with the Q&A session, and we have received some questions already. So let's directly dive in. The first question comes from Constantin Hesse from Jefferies. What level of spreads and GHG quota prices are embedded into the guidance? Where could upside come from? And would a further improvement in GHG quota prices still have an impact on your full year'25/'26, or only in the following years?
Claus Sauter: Olaf, it's your turn.
Olaf Troeber: Yes. As I outlined before, the spreads we anticipated were below last year's spreads and quota prices actually be focused on the quota prices you [indiscernible] as an indication from market participants right now. But what I also pointed out was that the spreads develop quite nicely in favor of Verbio in the biodiesel segment here in Europe, also the bioethanol segment and also the bioethanol segment in the United States. Thanks.
Operator: Good. The next question comes from Tim Wunderlich, Cantor. He has actually 3 questions. I would say that we do it one by one. What EBITDA upswing in euro million should we expect in full year '25/'26 versus '24/'25 from stronger utilization in the U.S.?
Olaf Troeber: Yes, it's approximately EUR 30 million.
Claus Sauter: US dollars, USD 30 million. That's now a difference.
Operator: Going to the next question, in full year '25/'26, what is the expected positive EBITDA impact in euro million from a higher GHG quota prices?
Olaf Troeber: Well, the impact won't be that high because you concluded contracts for the GHG, greenhouse gas quota at the end of this calendar year and our financial year runs until 30th of June. So the effect won't be that big.
Operator: Okay. Next question is, should we expect H2 to be stronger than H1 in '25/'26 because of the GHG quota prices hedge?
Olaf Troeber: Yes, the planning -- the overall planning is a little bit back-end loaded. So we expect a bit higher, a bit stronger second half compared to the first half. Because in the first half, we still stuck with the old contracts concluded in December '24. We make -- our business here is divided, but now the first half of our business year, which is first of July until the end of December, we have the old contracts. And now in October, November, we start to negotiate the new contracts, there is no more double counting, yes, but there is a higher quota prices. So we expect getting better margins for our ethanol and our biodiesel because the double counting is away. And so the real effect we will see in the second half of our business year, which is the half -- the first half of 2026.
Operator: Okay. And we have received another question about the current situation in India, even also have been mentioned in the presentation, please provide a reliable statement on this after there has been some positive news flow expected in the past?
Claus Sauter: Reliable? What means reliable?
Operator: Actually, we have in the last 2 events, there was the announcement of the near future, but nothing has happened so far. What is the specific status in India? Could you please give a statement?
Claus Sauter: Okay. So here in India, the utilization is about 60%. The plant is cash positive. But it's not at the stage where we want to be. It's not the right timing really to expand. So we had an announcement that we are going to create a joint venture with GAIL. And I think they are doing a due diligence at the moment, so much I can say. And I think that we will be able to make a final decision in Q3. So that means first quarter of 2026.
Operator: Okay. Perfect. Thank you for the insight. Actually, there are no further questions in the chat box. So this would conclude our today's meeting. And I just want to say a big thank you, Mr. Sauter and Mr. Troeber. And to all participants, we appreciate your time and the interest in Verbio. We kindly ask you to share your feedback with the company. And for this, you will receive an e-mail in your inbox. Have a great day, and we're looking forward to see you in one of our next events and goodbye from my side, but I'm handing over to you, gentlemen, for some final statements.
Claus Sauter: Okay. So thank you very much, Harry. Thank you very much, Olaf. Thank you very much, everybody, who was joining that call. I apologize that it was a little bit of hiccup today, but I'm sure that Olaf made it very well. And business first. These calls are important, but we have a lot of work on the table and at least interesting developments. The focus right now was to get the right legislation for Germany, for Europe; and finally, to develop North America and also the business here in India. But there is a lot of potential in our portfolio. So thank you very much again, and have a nice afternoon, evening, and I am or we are looking forward to see you or to hear you in our next call. Thank you. Goodbye.
Olaf Troeber: Thank you.
Operator: Goodbye.